Steven F. Rossi: Sports quarter three 2025 earnings call. I am Steven Rossi, chief executive officer and founder of Worksport Ltd. With me today is our chief financial officer, Michael Johnston. Today, we will walk through our financial performance, operating progress, liquidity position, and how these results align with our strategy to build a high-margin, scalable platform in truck accessories and clean tech-enabled power solutions. We will be reviewing the financial results for the quarter ended 09/30/2025, which we filed earlier today in our Form 10-Q and can be accessed on our Investors Relation website at investors.worksport.com/#reports. Once again, investors.worksport.com/#reports. At the end of today's call, both our prepared remarks and the accompanying presentation deck will be available for download as well. After these remarks, we will open the line for questions from attending analysts. So on that, let's begin. First, safe harbor statements. We will make forward-looking statements, including statements regarding our financial outlook for the full year 2025 and 2026, our expectations regarding financial and business trends, impacts from the macroeconomic environment, our market position, opportunities, go-to-market initiatives, growth strategy, and business aspirations, our product initiatives, and the expected benefits of such initiatives. These statements are only predictions that are based on our current belief expectations, and assumptions based on forward look because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks, and changes in circumstances that may be difficult to predict and many of which are outside of our control. Actual results or events may differ materially. Therefore, you should not rely on any of these forward-looking statements. These forward-looking statements are subject to risk and other factors that could affect our performance and financial results, which we discuss in detail in our filings with the SEC including included in our annual report on our Form 10-K and quarterly reports on Form 10-Q, and other SEC filings. The forward-looking statements made in this earnings call are made only as of today's date. Worksport assumes no obligation to update any forward-looking statements we may make on today's webinar. So here's today's agenda. On today's call, we will cover Q3 2025 key performance outcomes, production scaling and operational execution, tariff environment and cost management, Solis and Core commercial launch roadmap, R&D next steps, including AetherLux, cash and capital strategy, 2025 to 2026 outlook and path to cash flow positivity, and key takeaways as well as some Q&A. With that, let's move into our numbers. Mike will walk us through the Q3 2025 financial highlights. Thanks, Steve.
Michael D. Johnston: Q3 was another solid step forward in Worksport's growth journey, the third consecutive quarter of growth. Net sales reached $5 million representing a 61% growth year over year and 22% sequential growth from Q2's net sales of $4.1 million. Gross margin continued to expand. 31.3% this quarter compared to 7.9% in Q3 of last year, and 26.4% in 2025. Demonstrating the impact of operational efficiencies and a stronger product mix. Our net loss of $4.9 million reflects an ongoing expansion of product offerings and commitment to investing in scaling our manufacturing, ahead of commercialization milestones. While revenues and margins are getting stronger, we continue to invest in growth in brand and corporate awareness. We believe it will position us to reflect operational cash flow positivity and profitability in 2026. Ended the quarter with $3.8 million in cash and an additional $3.3 million available on our line of credit. Total working capital was $6.3 million. Importantly, total indebtedness reduced to $2.9 million down from $5.3 million at year-end 2024. Meaningful strengthening of our financial stability. Overall, Q3 demonstrates that our revenue growth and margin expansion are structural with some future-facing expenditures. In Q4, our expenditure profile is projected to begin transitioning from investment mode toward long-term profitability. Worksport's growth is being led by rapid scale-up of our US-made tonneau cover production. Q3 net sales reached $5 million up from $3.1 million a year ago. Year-to-date sales are $11.4 million, more than double the $5.6 million for the nine months ended 09/30/2024. Our strength this quarter came from strong continued growth from the AL4 hardcover, which launched in 2025, expanded relationships with several national distributors and major retail auto chains, continued growth in our dealer, jobber, and e-commerce channels. Our performance this fiscal year represents a recurring and diversified revenue base not a single channel surge. With new product launches and revenue streams entering the mix in the months ahead, we believe Worksport is on a path toward profitability in 2026. More on the upcoming product lines later. Gross margin is one of the clearest proof points of our strategy. Q3 gross profit was $1.6 million a 31.3% margin, up sharply from 7.9% in 2024 and 26.4% in Q2 this year. Year-to-date gross margin is 26.7% compared to 10.5% in 2024. Key drivers of this include higher production throughput and fixed cost absorption in our US production facility, a higher volume higher value product mix maturing and emerging sales channels, and greater operational efficiency as processes mature. We are now operating solidly in the 30% plus margin range, setting the stage for future operating leverage. We expect margins to approach 35% by year-end, continued improvement targeted for 2026. We remain committed to achieving near-term operational cash flow positivity. In Q3, operating expenses totaled $6.4 million compared with $4.2 million in 2024, and $4.7 million in 2025. The increase mainly reflects growth investments and marketing costs tied to the AL4 product launch and our Regulation A offering. We completed our offering in October 2025. Operationally, we supported 60% revenue growth from 2024 to 2025 while increasing G&A expenses only 20%. This shows improved scalability and cost discipline. And this path includes the following factors. Breakdown of the operating expenses for 2025. R&D spend was $300,000, lower year over year as we move past core tonneau cover development. G&A is $3 million. We're supporting which supported higher volumes, compliance, and facilities. Sales and marketing was $2.4 million. The driver of our gross spending. And this is focused on channel activation, brand marketing, and investor awareness. Professional fees were $700,000. And included advisory compliance and stock-based compensation items. Our operating loss was $4.8 million compared with $3.9 million in Q3 2024. And $3.6 million in Q2 2025. This investment in Q3 will partly carry into Q4 before reaching the tail end of our investment phase as we position the company for stronger leverage going forward. For the first nine months of 2025, our cash position reflects disciplined investment and growth financing activities. Our net cash used in operations was $11.2 million compared to $8 million in the same period last year. Our Q3 operating cash burn was approximately $4.3 million slightly higher than Q2 as we completed major production and marketing initiatives. We also incurred one-time expenses related to the Reg A marketing efforts. Our investing cash outflow is $485,000, It was represented mainly spending on machinery tooling and some intangible assets. Our financing inflows $7.1 million. This is from warrant exercises, the issuance of series C preferred stock and warrants connection with the Reg A units offering, net of repayments on revolving credit facility, the issuance of common stock. With respect to long-term debt, we continue to improve our leverage profile while managing our obligations. As of 09/30/2025, our total indebtedness, current and long-term equal $2.9 million. Which is down from $4.8 million on 12/31/2024. Revolving credit facility had a balance of $1.6 million and our other term debt. Had a balance of $1.3 million. Availability on revolving credit facility. We've got $3.3 million unused, which provides additional liquidity and flexibility to support our strategic priorities. Our path to profitability is becoming clearer each quarter supported by stronger unit economics, and upcoming revenue catalysts. Our gross margin is now consistently above 30%, up from under 10 last year, showing true structural improvement in profitability generated from production activities. Our operating leverage, while year-to-date revenue is up more than 60%, G&A expenses have risen only about 20%. Signaling scalability across our product. Offerings. On a revenue scale, applying our current margins to an annualized sales run rate approaching $20 million, positions us meaningfully closer to breakeven. Importantly, much of R&D investment over the last few years is now at the finish line. With the HD3 Tonneau cover line launching in Q4, and the Solis and Core system set for commercial orders in late 2025. Are not cost centers anymore. They are next revenue engines. As these products enter production and sales channels, we expect sustained gross margins in a 35% plus range. Continued expense efficiency and a clear trajectory towards cash flow positivity in 2026. We are building this profitability bridge step by step, product by product. We anticipate Worksport's need for cash provided by financing activities to decrease in 2026 given our projected path to cash flow positivity. Now back to Steven for key insights into business operations. Thanks, Mike.
Steven F. Rossi: In Q3, we built a scalable ISO 9001 certified manufacturer base. Q3's 31.3% gross margin is the financial proof of that operational capability. It is expected to only improve from here. We produced 2,499 tonneau covers by hand in a four-week stretch from early to late July 2025, more than double our March 25 total monthly output. In Q4, we expect to increase production by another 50% compared to Q3. An increase in production will benefit our margins and selling the demand we have meticulously invested in creating the market over the last year. We achieved without proportional headcount increase, validating process efficiency. And Q3 margins confirm better utilization of our US production facility, improved fixed cost absorption, continued focus on quality and throughput sufficient to support national distribution and dealers. Let's talk a bit about our Tonneau Cover business, our profit engine. After years of strategic investment, our hard folding tonneau cover division is now Worksport's near-term economic engine. They're made in The USA with rising brand recognition and multi-distribution. We have proven ability to increase margins with scale, 35% plus gross margins at current volumes with margins projected to grow even further. And as production scales, the tonneau cover division can absorb a significant share of fixed cost overhead. Reduce reliance on external capital, and generate cash to fund clean tech initiatives. The tonneau cover product offering provides the financial backbone on which Core and Solis and Aetherlux are being built, giving Worksport a strong and self-funded foundation for growth. Now let's talk a little bit about tariffs and how we're managing them. Continue to operate in a dynamic tariff trade environment. We all know this. While tariffs remain a headwind they are manageable. And in the tonneau cover market, increasingly service a competitive tailwind for Worksport. First, US manufacturing advantage. The majority of tonneau cover production value is US-based, reducing exposure, compared to our import-heavy competitors. Cost containment. Historical 9.5 to 10% material cost pressure has been offset through efficiency gains, scale-driven overhead absorption, and pricing discipline. This is through domestic pricing inflation. Our competitive position. Tariffs often impact imported competing products more severely. While our domestic footprint brand marketing, and product quality is a clear differentiator, especially if trade frictions continue. Core and Solis considerations. While some components are globally sourced for Core and Solis, tariff exposures modeled into our pricing and margin forecast. With flexibility to adjust and mix pricing as needed further. Further to this, the 11/10/2025 tariff suspension provides near-term relief and validates our proactive planning. The thing everyone's been waiting for, talk a little bit about Solis and Core. From investment to revenue pipeline. As of October 2020 10/21/2025, the Worksport HD3 tonneau cover is now in production with initial sales expected to begin to B2B customers in November 2025, followed by sales to online customers later this year. Sorry. I wanted to talk we're gonna talk about Solis and Core. Let's talk about HD3 first. Which we just did for a second. The HD3 is a heavy-duty tonneau cover designed for commercial and fleet applications. Building on the AL3, it features upgraded materials, seals, and latching for maximum durability. While available through all channels, its primary focus is driving growth in our wholesale and B2B channels. Adding a new revenue stream, and completing our US-made tonneau cover lineup. So we're very, very excited about the HD3 and what it's gonna do for our B2B business channels. Innovation pipeline, our Solis and Core, After years of engineering, tooling, certifications, and partnership investments, Solis and Core are now set to be released for orders later this month. What has pure operating and capital expense is expected to become a visible high-margin revenue stream beginning in late Q4 2025 and scaling through 2026 and beyond. Let's highlight some of our most recent announcements. First, the official for the solar tonneau covered core portable power energy system is now 11/28/2025. Customers will be able to place initial orders with expected delivery in late December or early January 2026. The core starter kit is priced at $949 which includes the core inverter hub, as well as one core battery. The solar system starting price is at $1,999 and will go up as high as $2,499 depending on the model size or bed size of your truck. And our initial rollout plan for the core is 1,000 core units plus 900 additional battery packs with a limited Solis release representing a roughly $2.5 million in near-term revenue opportunity with significant scaling plan through 2026. In terms of strategic positioning, Solis is a margin accretive product leveraging our tonneau cover expertise to enter into the premium solar tonneau cover market. Channel. CORE is a modular portable energy system designed as a recurring revenue platform, driving stable cash flow positive sales across work. Overlanding emergency and industrial markets. Together, these two platforms transform Worksport. From a single product channel manufacturer in a somewhat niche market into a multi-market clean tech company with recurring scalable revenue potential. Let's talk a little bit about R&D and our next steps. In 2026, we aim to transition R&D from heavy foundational build to commercial optimization and platform leverage. What this means is we're gonna switch from all the operational expenses relating to heavy R&D and developing new products to perfecting those new products and being able to increase margin and efficiencies. For Solis and Core, we're planning to finalize launch execution and early customer feedback loop. Optimize bill of material and logistics for margin enhancement post-launch, explore rapid scale cost savings, and expand integrations and form factors based on usage data, expanding the core platform for multiple product lines. For Tonneau Covers, we're gonna grow the HT3 product and launch an HT4 equivalent cover labeled internally as the Worksport B2. We expect this B2 cover to be extremely well received in all markets. More details will come on this will come in later in 2026. Incremental product improvements to maintain quality, compatibility, and margin strength. Aetherlux, gonna advance pilots and partnerships, including evaluations with institutions to validate performance and use cases. Finalize and select manufacturing partners, and focus spend on projects with clear commercialization paths and potential for 2026 impacts and beyond. A little bit about operating leverage and the roadmap there. Bringing it together, our operational model priorities for 2025 and 2026 are as follows. First, we're gonna obtain and sustain 35% gross margins. We're gonna get this we're gonna get this by maintaining manufacturing efficiency and pricing discipline. Gonna slow our operational expense OpEx growth as a percentage of net sales, especially in sales and marketing, and we're gonna treat Q3's elevated spending as a peak investment. Not the new baseline. We're gonna improve working capital turns by monetizing existing inventory and further align production scale with growing demand. And we're gonna layer new products into our existing cost-stabilized offerings. Tonneau, Solis, Core, and we're gonna share the infrastructure that we built and we're spending on. And amplify our leverage. Our priority supports our transition from capital-funded mindset to operations-funded growth. A little bit about risk management and mitigation. We are clear-eyed about key risks. Ongoing net loss and going concern language in 10-Q reflect reliance on external capital and execution risks. Tariff and supply chain volatility, particularly for globally sourced components, and launch risks that we see for Core and Solis, timing, adoption, and margin realization. Equity and warrant overhang impacting shareholder perception This is how we're gonna mitigate We're gonna tighten our spend to initiatives with measurable ROI. We're gonna maintain and selectively use diversified capital sources. And we're gonna stage clean tech production and inventory to complement demand signals. Communicate transparently about milestones. And capital deployment. Given the continued growth and healthy margins in our Tonneau Cover business, we are very confident in our ability to manage tariff-related cost inflations while advancing towards near-term cash flow positivity and maintaining our 2020 profitability target. I'm gonna pass it back to Mike with our updated fiscal year 2025 outlook and guidance.
Michael D. Johnston: Thanks, Steve. So as far as our 2025 revenue framework concerned, in 2025, we then ARR of $20.4 million, substantively from $8.5 million in 2024. 2025 is expected to benefit from continued tonneau growth and channel expansion, initial Solis and Core orders, commencing 11/28/2025 with early but measured contribution. We project year-end revenues of $17 to $21 million and that depends on when the revenue recognition for the Core and Solis happens. 2026 revenue growth drivers we believe the base case for our U. Tonneau cover net sales will be $27 to $35 million next year. Further, we believe Solis and Core product lines can lead to an additional net sales in the tens of millions. We will update our shareholders on guidance after this product is rolled out later this year. In 2026, we'll have the full year impact of The US-made tonneau platform cover sale of 35% to 40% target gross margins. And first full year commercialization of the Core portable power system and Solis solar tonneau covers. Selective program on AetherLux is as a complimentary Cleantech platform to align with the defined technical and commercial milestones. And our focused OpEx discipline. OpEx growth below revenue growth to unlock operating leverage. And now our path to cash flow positivity. Our target is at operating cash flow becomes positive during Q1 2026. First half. Sorry. The 2026 driven by the stable 35% gross margins, Increasing sales will lead to higher utilization of existing manufacturing and distribution infrastructure with no major step up in fixed costs. Our tighter control of G&A, sales and marketing, professional fees with the spend tied to measurable ROI. And our launch of HD3 Solis and Core product lines. Our new margin sources. And now back to Steve with our concluding remarks.
Steven F. Rossi: Thanks, Mike.
Michael D. Johnston: Well,
Steven F. Rossi: we built a high-margin US manufacturing platform working with rapid revenue growth. We've established national Core and Atherlux on top of that foundation. Our focus now is precise. Disciplined execution towards sustainable cash flow and profitability. We're seeing here on the charts Worksport's revenue growth, Worksport's margin growth, and Worksport's new products set to improve 2026 profitability.
Michael D. Johnston: Thanks, everyone. This concludes our prepared remarks. Operator, please open the line for questions.
Steven F. Rossi: Tate, I see you have your hand up and Scott, yeah, thanks for joining us today both. You guys are always great to join in, and I love your questions. So I'm gonna start with you, Tate. And, yeah, go ahead.
Tate H. Sullivan: Thank you. Thanks, Steven. Can you talk about the tonneau market for tonneau covers in general in The United States? Are you seeing total demand growth in the market versus are you taking share to start, please?
Steven F. Rossi: Yeah. So we're seeing you know, we're still seeing or still getting bits of information from the market We're seeing that we're taking we're I don't the market's still very healthy. We're seeing a slight shift into smaller trucks, different SKUs, so we're pivoting, and that's what's really good. As a domestic manufacturer because we could literally make whatever selling the day that we need to sell it, for instance. So in terms of the market, usually, there's difficult times, things start to sell less However, in our market, when we have geopolitical issues and other small issues that are happening or other issues happening within our economy, what we see is we just see a shift of what types of trucks are sold, not the amount of them. So we're still seeing the tonneau cover market in that $3 billion plus range, maybe a bit more. We're just seeing a shift to different applications with that that we make. And in fact, the different applications that are being sold more of are actually higher profit for us. So it's actually quite a benefit. So everything's still healthy as it was. Two or three years ago, and I feel that the market's primed for a strong '26 in terms of growth within the economy in The US specifically. And I think that we're gonna be able to capitalize on
Tate H. Sullivan: Thank you. And then I saw on your 10-Q a mention about working with on the OEM sales channel, but related to the Core and Solis too, can you leverage your existing distribution, your sales channels for the tonneau covers for Solis and Core, or will it be different type of distribution, maybe starting more online or can you comment on that, Tanya? Yeah. Yeah.
Steven F. Rossi: No. Great question. We're gonna start online. We're gonna start direct to consumer. That way, we get that feedback loop. With no you know, no broken telephone, no other way to say it. So we started with our beta testers. Those are individuals that we work with, and now we're gonna open it up to instead of select individuals, the broad consumer market. And then we have a significant amount of interest on the dealer side. We just presented. We just had a booth. At the SEMA show in Las Vegas. Some of it's available on our socials like Facebook and Instagram where Worksport posts. We used Twitter and LinkedIn more for investor stuff. But anyone that goes follow us on Instagram and Facebook, at Worksport Ltd, and you'll see some videos. We had these booths powered by our new energy products, and there was a significant amount of interest So I think that we could leverage We're just gonna be strategic in when we do so. So that it it's accretive to the target.
Tate H. Sullivan: Okay. Thank you very much.
Michael D. Johnston: Thanks, Tate. Scott?
Steven F. Rossi: Good morning. Good morning, guys. Thanks for taking my questions.
Scott Christian Buck: Steven, I was hoping that you might be able to give us a little bit of insight into your visibility on demand for Solis and Core. The language around the opportunity in '26 is pretty robust. So any kind of color you can give us there, I think, would be very helpful.
Steven F. Rossi: So I think that the demand for the Solis is gonna be bigger than what I had otherwise believed. So you know, me as the leader of the company, I'll always have to be a blend of optimism and pessimism. So with that in mind, you know, I think that a new product that the likes of which has never existed is always a difficult path. And I believe that that's going to be true. I think that it's gonna be difficult and challenging to market and to attract customers for the Solis. But I also believe that what we've been able to launch in terms of an offering price at $1,900 is almost a no-brainer. And I think that the average consumer, when they look at something as a you know, two, three, or 4% of the cost of the truck expense while offering such measurable amounts of benefit. I think that it becomes a no-brainer. So I think that the Solis is poised to possibly become a trending item something that becomes a trend, almost like a fashion accessory for your truck. Look what my otherwise analog accessory can do. It could power our battery generator, the core, or any battery generator. And when it's only you know, a little bit more than other tonneau covers, other competing tonneau covers are $1,500 for an extra $400 $499, you get a Solis. So I think the demand as we market it and we message what it does and how meaningful that is for individuals, I think that that's gonna be very, very popular for us. The Core is nebulous because the market is so big. What we've been able to do with the Core is tap in from you know, you gotta think, Scott, that the tonneau cover market is a subset of a subset of a subset. It's an individual that has a license that buys a truck that needs a tonneau cover. And then that wants ours. So it's a very, very niche market. And it's still we're seeing massive growth there. But the Core is literally for anybody, anywhere. You know, any demographic on a global scale. So I think that when you look at that, it becomes nebulous because now it's a much broader market to market to, so it could become expensive there. But I think that as we look at explaining how innovative our Core is and integrating the Core into other products that we plan on speaking about more next year. I think that it we know that one of our competitors, which was a foreign company, foreign produced, foreign owned company, did about a billion dollars. So we think that even a percentage of that market without the massive CAGR we're seeing, I think that the Core market could be highly accretive to the balance sheet. And in fact, I think that our clean energy division as of the business could become bigger than the tonneau cover business within a period of time.
Scott Christian Buck: Great. I appreciate all that added color, Steve. That was helpful. Then my second question, just on margins. Clearly, you guys have made a ton of progress there. I'm curious what is just volume driven in that improvement versus actual improvements in the manufacturing and production process.
Steven F. Rossi: That's a good question. So we have the best well, Worksport is around people, and everybody working at Worksport is beneficial. Our engineering team is a shout out. And our management team our leadership team in general has a lot to do with being able to find cost efficiencies without the phrase we use in the market is thinning the product out. And thinning means, you know, using a thinner aluminum or cheaper plastic or cheaper corrugated. So we haven't we've in fact increased the robustness of our product, but we've been able to find efficiencies through keen purchasing leveraging demand, and volumes. But the biggest, I would say, 60 to 70% of the cost saving is just overhead absorption. We started making our tonneau covers, our hours per unit how many man hours it took to make one unit, ranged between four and six. Hours per unit. Yesterday or on an average day today, we're kissing below two. And when you look at the cost of domestic labor, in the $20-$30 an hour range, you know, that's significant. And we think that we can get that labor component down even more. And then but what we're fighting against, Scott, is domestic inflation. We're significantly US our paint it comes from the 48 states, our aluminum, everything that in our most of what our product is made out of is sourced domestically. And even though the tariffs are for foreign products, we've been seeing a lot of domestic inflation. And once that eases, which it will eventually, whether it's a week, a month, a year, a decade from now, we're gonna see even better bill of material cost savings.
Scott Christian Buck: Great. And are we kind of capped out at around 35% on the current product mix, Or when you know, a year from now, are we talking about pushing 40% into '27?
Steven F. Rossi: It's gonna be there there's gonna be two different two different things that so first off, we may reduce discounts as the brand becomes more popular. So, you know, right now, we have a Black Friday sale, you know, and that sale is just us reducing our margin in essence. That's what all sales are, to sell more. So we're finding ways of being able to attract customers or there's marketing costs are gonna decrease while our branding increases, our brand recognition increases. Operational efficiencies, And then as we become a more popular brand, well in the marketplace, we could you know, we'll be more selective on sale price because I think that the value will be driven by the product's quality and our name brand to begin with. So all of those in aggregate, think that we could see higher than and in times But it's gonna take a lot of hard work.
Scott Christian Buck: Great. Well, I appreciate the added color, guys, and congratulations on all the progress.
Michael D. Johnston: Thank you, Scott.
Steven F. Rossi: Steve, we have three more questions from the audience
C.K. Poe Fratt: in the Q&A bubble. The first question is, if someone was to order the Solis and Core, on the November 28 release date, when would they reasonably expect to receive the product?
Steven F. Rossi: Great question. So the Solis is made to order. It's made domestically here within our facilities in The US. It'll be, yeah, mostly made to order. We may stock some So it's all handmade white glove service. And we're thinking that it'll be one or two weeks for us to make the product test the product, package it, and then the concierge service respect to having it delivered to you. So it's not we're not just gonna throw it on a USPS truck and wave it away. It's a concierge white glove experience with the Solis. You have your own dedicated team for support and an install and these types of things even though it's very easy. So the Solis should be a couple of weeks depending on our availability for the photovoltaic panels. And that supply chain there. The Core, our first batch of 1,000 batch of Core units is expected to arrive in December. The reason why we're offering them for sale in late November is just because we expect significant demand, so we want to make sure that we have everyone's name in the hat that wants to be a part of it. And the Core is interesting again because you can buy multiple batteries. It's the only of its kind that offers a fully modular system. So the Solis recap should be a two-week lead time. Handmade. And the Core should be shipping sometime in late December mid to late December depending on the receipt of the products through our contract manufacturer.
C.K. Poe Fratt: Thanks, Steve. And then we have another question about sales to the international Are we looking at international markets such as EU or Middle East?
Steven F. Rossi: We had recently at the SEMA show in Vegas, the biggest automotive show in North America. We had an unprecedented interest in sales from Latin America. Which we didn't expect. We knew that the market was strong. We didn't know it was that strong. So it looks like we're gonna continue to focus our growth geocentric. What that means is closer to home than further. I think that we're gonna start looking at the Latin American, like Puerto Rican, and Central and South American markets. First, that should be relatively not easy, but it should be quick. Because we know everyone we need to know there. Set up distribution, and then we're gonna look at European Union and The Middle East for mostly the Core products. We feel that portable energy systems and small home power systems are gonna be very, very strong there. And also, we've been looking at over the past years the Australian market, which is big for both all of the product lines we sell. Inclusive of unit of the heat pump. Thank you.
C.K. Poe Fratt: Another question on the heat pump. Specifically. When do we expect it to go into production?
Steven F. Rossi: So I want to underline the amount of excitement that we all have about the AetherLux because it's so revolutionary, and it's revolutionary within such a large and growing market. I mean, there's really, like, a trident of amazing things that are happening here. It's revolutionary. The market is existingly large, and it's also growing massively for heat pumps. So we're very excited about that. So we have production intent or pre-production intent prototypes working. We're building additional prototypes for additional testing. So that's what November and December looks like. And then we're working with contract manufacturers to start looking at manufacturing the product. I'm broad in my wording because obviously, we can't disclose nonpublic information. But our intention is to begin manufacturing the product as quickly as possible once we've tooled it. Tested it, and certified it. And we, the company, want exactly what the shareholder wants, which is that date to be as close to today as possible. So the answer to the question is as fast as possible. You know, we want the same things as every shareholder and investor does. But there's the UL certification alone could be three to six months. Tooling and supply chain could be significant time drags, but we're much smarter today than we were a year ago, having done this now, executed on similar initiatives like the Core. So we're gonna keep it as tight as possible.
C.K. Poe Fratt: Thanks, Steve. And I think it's important to mention that we'll continue to deliver transparent updates to investors as we get better alignment on the timeline and the progression on certification. So stay tuned for that. We have one other question regarding the four battery system. How much extra miles it would enable a truck be charged. The truck is out of the electric truck is out of energy. I can take that question, Steve, and I think the answer to that question is just mathematical calculation. So each battery is about one kilowatt hour of energy. So if you're And you can have easily about four batteries in your truck system. let's say, electric truck is 50 kilowatts, that would provide four out of 50. Almost an 11% range boost. Could be 30 miles, 40 miles, depending. On the efficiency of your truck. So the answer is four kilowatt hours.
Steven F. Rossi: Yeah. We also want to be clear to state that the Solis itself is not presently configured to recharge or directly integrate into an electric truck. So the Solis will charge battery systems, and the battery systems can be used for level one charging of the trucks. Which is relatively slow, but it'll get you enough power to get out of a difficult situation where you might be out of energy off the side of the road, for instance. We have not yet integrated the Solis directly with an EV manufacturer, although that is a cog in the wheel for us.
C.K. Poe Fratt: Thank you, Steve. There are no other questions in the Q&A box. Any other investor that does want to ask questions about our queue or future progress, please do email us or call us at our line. We thank you very much for attending this call.
Steven F. Rossi: Thank you, everyone.